Operator: Good morning and welcome to Columbus McKinnon's Full Year and Fourth Quarter fiscal 2025 Earnings Conference Call. My name is Joanna and I will be your conference operator today. As a reminder, this call is being recorded. I would now like to turn the conference over to Kristine Moser, Vice President of Investor Relations and Treasurer. Please go ahead.
Kristine Moser: Thank you and welcome everyone to our call. On today's call. We'll be covering both our full year and fourth quarter fiscal 2025 financial and operational results. On the call with me today are David Wilson, our President and Chief Executive Officer, and Greg Rustowicz, our Chief Financial Officer. In a moment, Greg and David will walk through our financial and operating performance for the quarter and year. The earnings release and presentation to supplement today's call are available for download on our investor relations website at investors.cmco.com. But before we begin our remarks, please let me remind you that we have our Safe Harbor statement on Slide 2. During the course of this call, management may make forward-looking statements in regards to our current plans, beliefts and expectations. These statements are not guarantees for future performance and are subject to a number of risks and uncertainties and other factors that can cause actual results and events to differ materially from the results and events contemplated by these forward-looking statements. I'd also like to remind you that management will refer to certain non-GAAP financial measures. You can find reconciliations of the most directly comparable GAAP financial measures on the company's investor relations website and in its filings with the Securities and Exchange Commission. Please see our earnings release and our filings with the Securities and Exchange Commission for more information. Today's prepared remarks will be followed by a question-and-answer session. We respectfully ask that you limit yourself to one question and one follow-up. With that, let me turn the call over to David.
David Wilson: Thank you, Kristine, and good morning, everyone. Let me start by reviewing the fiscal year. I will also give some color on guidance, insights into tariff impacts, and an update on the pending Kito Crosby acquisition before I hand it over to Greg to discuss our fourth quarter results and guidance in more detail. In fiscal '25, we delivered record orders, which increased 4% versus prior year on a constant currency basis, driven by 8% growth in project-related orders and particular strength in precision conveyance. Order momentum remained strong in our fourth quarter, also up 4% on a constant currency basis, again driven by growth in project-related orders and strength in precision conveyance. While short-cycle orders were flat on a constant currency basis in the quarter, we saw an improved comparison trend from the third quarter. Net sales were in line with our guidance, down 4% on a constant currency basis in fiscal '25. This was due largely to timing of backlog, given the higher mix of longer cycle project-related business as we gained traction on our commercial initiatives and offset slower conversion of short-cycle orders. Short-cycle has been impacted by near-term policy uncertainty and channel consolidation that has led to channel inventory reductions. This mix shift also accounts for a 15% increase in our backlog, which positions us well as we enter fiscal '26. I would like to take a moment to thank our 3,500 Columbus McKinnon team members, many of whom are listening today, for their hard work, dedication, and relentless execution throughout what was a dynamic and challenging fiscal '25. Your efforts have improved our position as we enter fiscal '26. Given these efforts, we have improved our operational execution in areas like safety, where we achieved a top-tier TRIR of 0.54. Customer lead times and on time delivery in important pockets of our business and customer experience, where in our European, Middle East, and Africa businesses we improved our net promoter score by 10 points and we are taking these principles and strategies across to our other geographies. We continue to see an encouraging funnel of demand with strong quotation activity across our end markets. Short-cycle orders remain more sensitive to channel dynamics, however, driven by policy uncertainty and the evolving macroeconomic environment. Over time, we anticipate this demand will stabilize and that attractive opportunities from industry megatrends like near-shoring, scarcity of labor, and infrastructure investments will emerge. Order activity through mid-May remains encouraging, with orders up year-over-year and continued overperformance in precision conveyance. While macro uncertainty remains, we continue to see strength in vertical end markets where we've been building a leadership position, like battery production, life sciences, e-commerce, food and beverage, and aerospace. Additionally, we are seeing potential early benefits from industries heavily impacted by tariffs to maximize productivity in their existing US facilities like steel and heavy equipment. We're also seeing strength in orders related to the Department of Defense. Let me now take a moment to address the guidance we issued this morning. Our guidance reflects a macro environment that remains uncertain with continued volatility related to the evolving US Policy landscape. While we're encouraged by early order performance, quotation activity and the health of our demand funnel, we expect that our current project versus short-cycle mix dynamics will continue to impact first quarter sales and margin and that our strong backlog and margin expansion initiatives will benefit us more in the latter part of the year. With respect to tariff impacts, it is our intention to fully mitigate the cost implications over time as we implement a robust mitigation plan that Greg will discuss shortly. In summary, we are making adjustments to our supply chain and implementing select pricing increases and surcharges while evaluating additional mitigation strategies. We expect tariffs to be a headwind to margin and adjusted EPS in the first half of the year and are targeting the achievement of tariff cost neutrality by the second half of fiscal 2026. It is also our goal to realize margin neutrality over time, but that will likely occur in fiscal '27. It is also important to note that our guidance for fiscal '26 does not contemplate the impact of our pending acquisition of Kito Crosby. We continue to be excited by the potential of this acquisition, which we expect to scale our business, expand customer capabilities, enable synergies and over time accelerate our intelligent motion strategy. Through this complementary combination, we will be better positioned to deliver a superior customer value proposition through an expanded product offering across a broader set of geographies, generating enhanced financial results and long-term value for our shareholders. We continue to anticipate a deal closing by the end of the calendar year. While the exact timing remains uncertain, we are constructively engaged in addressing all regulatory requirements and preparing for the marketing and closing of permanent financing for the acquisition while advancing integration planning and readiness. To-date, we received 13 of the 14 regulatory and financial approvals required to close the deal. The last outstanding approval is related to the Hart-Scott-Rodino Act filing. We continue to make progress towards completing the proposed acquisition and are working collaboratively with the Department of Justice on the approval process. Additionally, we are taking full advantage of this valuable time to advance integration planning and to enhance our day one readiness to enable accelerated synergy realization. Within the business, we remain focused on what we can control while navigating what remains in evolving macro environment. Our priorities remain operating effectively, managing the business with agility and executing our strategic plan. As you would imagine, we are diligently managing costs and implementing mitigation strategies to offset the impact of tariffs. We are remaining flexible to capitalize on upside opportunities, and we continue to advance our strategic plan, including our 80-20 initiatives. I will now turn the call over to Greg to take you through the details of our fourth quarter financial results and fiscal '26 guidance.
Greg Rustowicz: Thank you, David, and good morning, everyone. Columbus McKinnon delivered fiscal 2025 net sales of $963 million in line with guidance, but down 4% year-over-year on a constant currency basis, reflecting lower volume due to short-cycle order softness in the second half of our fiscal year as well as the timing of project-related orders that have longer delivery time frames. In our fourth quarter, we delivered sales of $246.9 million, down 5% from the prior year on a constant currency basis due to a 9% decrease in short-cycle sales. While short-cycle orders in the quarter were flat compared to the prior year on a constant currency basis, the decline in sales this quarter was largely driven by a weak order pattern in our fiscal Q3. Backlog remains strong at $322.5 million, a $41.7 million or 15% increase versus the prior year, reflecting the strength in project-related orders, specifically in precision conveyance as discussed earlier. Gross profit of $79.8 million decreased $14.5 million versus the prior year on a GAAP basis, impacted by $4.4 million of expenses for factory closure costs related to two smaller North American facilities, and a continued ramp-up of our Monterrey, Mexico facility. Remainder of the decline was due to lower sales volume and mix as well as a $1.1 million unfavorable FX impact. This was partially offset by favorable pricing net of manufacturing cost changes. Roughly half of the volume and mix impact was driven by lower volume and the other half was driven by the product mix within our factories. On a GAAP basis, our gross margin was 32.3%, and on an adjusted basis, our gross margin was 35.2%. Adjusted gross margin contracted 140 basis points year-over-year, largely due to lower volume and the unfavorable mix previously discussed. With the lower sales volume in the quarter, the team managed RSG&A expenses appropriately. While RSG&A increased $6.1 million to $67.5 million, this included $11 million of deal-related costs from the pending Kito Crosby acquisition. On an adjusted basis, RSG&A was down $3 million to $55.5 million. As a result, we generated operating income of $4.9 million in the quarter on a GAAP basis and adjusted operating income of $24.1 million. Adjusted operating margin was 9.8% in the quarter. We recorded a GAAP loss per diluted share for the quarter of $0.09 and adjusted earnings per share of $0.60. Adjusted earnings per diluted share decreased $0.15 versus the prior year, driven by the lower volume and unfavorable mix, partially offset by lower RSG&A expenses, price increases, and lower interest expense as we continued to pay down debt. Our adjusted EBITDA was $36.1 million in the fourth quarter with an adjusted EBITDA margin of 14.6%. We delivered $29.5 million of free cash flow in the quarter, a decrease of $600,000 versus the prior year. Free cash flow for the year of $24.2 million was lower than the prior year, driven by $16.9 million related to the timing of collections for unbilled over time revenue recognition on large projects, as well as $11.7 million of higher inventory levels due to the timing of large orders and higher stocking levels to facilitate the consolidation of our manufacturing footprint. From a balance sheet perspective, we paid down $60 million of debt in fiscal '25, including $15 million in the fourth quarter. We continue to prioritize debt repayment and expect that to continue in fiscal '26. Our net leverage ratio was 3.1 times on a financial covenant basis in line with guidance. For the company's credit agreement, we are capped at $10 million for a cash restructuring cost that can be included as an add-back to EBITDA per year. Given our factory consolidation activities and Monterey start-up costs, we've exceeded the maximum allowable adjustment by $16.6 million. Let me wrap up with our updated guidance for fiscal year '26, which contemplates our expectation for the continuation of a challenging macroeconomic environment and uncertain tariff policies in the near-term. Our unmitigated tariff exposure would have an EBITDA impact of approximately $40 million based on what we know today. Through a combination of mitigation measures, including surcharges, pricing, supply chain management and more we are targeting margin neutrality over time. We expect tariffs to negatively impact the first half of fiscal year 2026 due to the timing of tariff mitigation actions, including supply chain adjustments, surcharges, and price increases, lagging tariff costs. This timing disconnect is largely due to some limitations on our ability to add tariff surcharges immediately to all existing orders in the backlog. However, we do anticipate achieving gross profit dollar neutrality on tariffs by the second half of fiscal 2026, with actions underway to achieve margin neutrality in fiscal '27. Also, please note that our guidance does not include any financial results from the pending acquisition of Kito Crosby. With that in mind, we are issuing the following guidance for fiscal 2026. Net sales growth being flat to slightly up year-over-year and adjusted EPS growth also flat to slightly up year-over-year. This guidance assumes interest expense of $35 million, which is an increase year-over-year due to the expiration of one of our largest interest rate hedges which carried a favorable swap rate of 2.07% as mentioned last quarter. Amortization expense of $30 million, an effective tax rate of 25%, and diluted average shares outstanding at 29 million. Additionally, it contemplates a $0.20 to $0.30 headwind to adjusted EPS in the first half of fiscal 2026 due to tariffs. We are excited about the pending acquisition of Kito Crosby and our ability to achieve our stated long-term objectives. While we expect some near-term macro uncertainty, we will continue to control what we can control with a focus on operational execution and managing our expenses and we will be ready to capitalize on opportunities as they arise. Operator, we are now ready to take questions.
Operator: Thank you. Ladies and gentlemen we will now begin the question-and-answer session. (Operator Instructions) Our first question will be from James Kirby at JPMorgan. Please go ahead.
James Kirby: Hey, good morning, guys. Just wanted to start here on the tariffs. What exactly is the tariff rate embedded? I guess just for China and the EU for that $0.20 to $0.30 headwind in the first half of the year. And then just a second part, with the Kito footprint, you've mentioned opportunities to relocate or consolidate some of the supply chain with Kito. Is there -- I know you can quantify that, but with a combined entity, is that still kind of the correct way to think about it, that maybe the tariff impact would be mitigated either quicker or better than what you're currently guiding?
David Wilson: Hey, good morning, James. Thanks for the questions. As it relates to that $0.20 to $0.30 embedded for the full year, we're looking at just directly from a factoring of that full year impact, 145% on the China tariffs and 10% on the EU tariffs in the current consideration. Knowing that's in some state of flux at this point, we know that there's some potential adjustment to that, but as is currently contemplated, we're factoring those amounts in. And then as it relates to the opportunities with Kito Crosby, we're obviously advancing the work that we're doing on integration planning to make sure that we have day one readiness, taking advantage of the time that we have now. We're organizing to have a full-fledged IMO that's staffed with dedicated leadership, overseen by a steering committee and a board subcommittee from a governance perspective, with a laser focus on executing the synergies that we've identified as well as delivering the cash generation commitments that we have thereafter to delever rapidly. And so we're working through the opportunities. We are identifying both positives and potential headwinds to initial assumptions, but we're really comfortable with the targets that we've put out there and we're marching towards getting to a closure later in this year.
James Kirby: Got it. Thanks, David. And for my second question, maybe just want to dig deeper into the near-term outlook. It looks like the short-cycle has improved through mid-May, but maybe could you talk about how that trended through April and what you're seeing in early June? And then again, as a second part related to Kito, but is there any reason to think that wouldn't be what you're also seeing at Kito given they are predominantly short-cycle business?
David Wilson: Sure. Yes, as you can imagine, on the Kito Crosby front, we can't comment on their results, but we would anticipate a similar level of activity. As I mentioned, short-cycle sales improved in the latter portion of Q4. And we saw for the quarter a year-over-year flat performance in short-cycle activity. And although that was flat year-over-year, it was a significant improvement versus Q3. So that was a positive development. And as we progress through the first half of this quarter, we've seen growth in order demand and we're encouraged by the funnel both in terms of project activity, which was really robust in last quarter and through the full year last year, and with respect to short-cycle activity.
James Kirby: Got it. Thank you.
David Wilson: You're welcome.
Operator: Thank you. The next question will be from Jon Tanwanteng at CJS Securities. Please go ahead.
Jon Tanwanteng: Good morning. Thank you for taking my questions. I was wondering if you could talk a little bit more about the tariff situation you mentioned, obviously the $40 million in headwinds, but I guess the net mitigation once you reach the second half, could you maybe detail how much of that is expected to come from pricing versus taking out costs and what your underlying demand assumption is to get to that flat year-over-year revenue flat to up? I guess.
David Wilson: Yes. So, Jon, good morning from a macro environment and hopefully this answers your question. I think I understand what you're getting at. From a macro perspective, we anticipate that the demand environment remains, as is today, somewhat uncertain. There's a level of volatility around tariff activity that is still evolving. We are encouraged by the demand funnel that we've seen so far. And we've got a guide that contemplates flat to slightly up results from a revenue perspective. We think that will be positively impacted by surcharges and tariffs, and potentially negatively impacted by volume reductions tied to price increases to offset tariffs that might result in a lesser competitive position that impacts volume. And so that's kind of a net-net of the assumptions that go into the guide as it's currently contemplated. Let me pause there and see if that answered your question.
Jon Tanwanteng: No, that's good. Thank you. And then second, I was wondering if you could talk about the strength in the precision conveyance orders. Where specifically are they coming from? Is the margin on that business good? Just any color there would be helpful.
David Wilson: Yes, precision conveyance orders have been very robust. We're very encouraged by the demand that we've seen there. As you know, we were up 19% year-over-year in terms of order growth in that portion of the business, and that trend was positive throughout the year and continues to be positive in this quarter. That demand is coming from our montratec and Dorner businesses primarily and it is for both precision conveyance solutions that are asynchronous and rail shuttle oriented or precision conveyance solutions that are conveyance and flexible conveyance solutions for our customers, and sometimes a combination of the two. And we're seeing demand across a number of attractive end markets, and so when you think about strength in end markets, we're seeing strength in areas where we have a leadership position, like battery production, life sciences, e-commerce, food and beverage, aerospace. We're also seeing demand that's tied to what we think is driven by reshoring and some of the tariff and trade policy implications in heavy manufacturing environments like steel and heavy equipment. We're seeing demand in US Defense, and we had a big trade show out in Europe this past quarter or this quarter even, and we're seeing the investments pick up in automation in that geography as well as in Germany, as it relates to military and construction spending. So we'll see a number of demand drivers there, Jon. Thanks.
Jon Tanwanteng: Great. Thank you. That's helpful.
Operator: Thank you. The last question will be from Steve Ferazani at Sidoti. Please go ahead.
Steve Ferazani: Good morning, David. Good morning, Greg. I wanted to ask about mix in the quarter because we've seen multiple quarters now where your precision conveyance orders have been very strong. I would have assumed, and if short-cycle is so weak, I would have assumed mix should be positive to margin, you're saying it was negative in the quarter. I'm trying to understand that and how that plays out over the first half of fiscal '26.
David Wilson: Yes, sure. And Steve the orders were way up in precision conveyance, but the sales were down, right, and so the translation didn't occur in the quarter. But what we've seen is, margins were impacted by both volume and mix. The lower volume was driving an absorption gap and lower utilization of assets that impacted gross margin in the period. And then we're expecting that to ramp and improve through fiscal '26. From a mix perspective, we had some higher margin businesses that saw some volume declines, like precision conveyance, as I mentioned, and our North American linear motion business, where we were consolidating into Monterrey, as was previously communicated, and so that ramp there impacted total volumes there, but those are ramping as we speak, and we're continuing to drive more volume out of that location. And then we saw some strength in some lower margin areas, like our rail business, and then higher demand for some lower margin hoist-related product. Obviously, I mentioned the impact of tariffs and we anticipate that tariffs will impact this in the first half of the year as we work to put in place whether there's supply chain adjustments or surcharges, or price increases to offset the impact of tariffs. And there is a lag in our ability to put them in place, whether it be for backlog that's already priced and might be seeing cost increases on supply chain inputs or it could be tied to the impact of price increases that result in volume losses that impact the bottom line. Does that answer your question?
Steve Ferazani: It helps a little bit. Yes, thanks, David. I appreciate the color on that. But if you're talking about being able to mitigate the tariff impact in the first half, given the strong backlog, and you talked about the strong orders, even in 4Q, you're not going to be able to reprice most of that, right. So it is going to carry over into the second half just to a lesser degree. Is that how I should think of it?
David Wilson: You should think of it as possibly carrying over to a lesser degree. But as we advance in our clarity around the tariff impacts and work with our customers around surcharges tied to those orders, those can be put in place on backlog to offset input costs. And so with the window that we have to communicate and manage contracts, where we have notification periods around price changes, we think we can navigate that through the first half and manage that through the second half with the adjustments that we're making.
Greg Rustowicz: Yes. So Steve, just to be clear, we're expecting there to be roughly a $10 million headwind in the first half of the year, roughly maybe a little bit more in the first quarter than the second quarter of the fiscal year. But the big unknown is we can certainly price and put surcharges on, but what impact is it going to have on the volume? And so it becomes a competitive dynamic we have to assess. But our expectation is by the time we get to the second half of the year, we will have covered the tariff increases as they exist.
Steve Ferazani: Okay. That's fair enough. Thanks, David. Thanks, Greg.
David Wilson: Thanks, Steve.
Operator: Thank you. The last question will be from Jon Tanwanteng at CJS Securities. Please go ahead.
Jon Tanwanteng: Hi. Thanks for the follow-up. I was wondering if you could comment on the e-commerce end market, if anything is going on there, number one, and I have a follow-up after that?
David Wilson: Yes, absolutely. As we've communicated previously, we've done a lot of work to expand our position in those markets with business development resources to broaden the base of customers we serve. We're serving a diversity of customers across big box suppliers of e-commerce solutions or delivery systems to customers as well as the more traditional parcel delivery customers with the products that we sell through our precision conveyance base primarily. And we have seen a nice increase in opportunities in the funnel and some traction on some good customer opportunities in that area. Nothing specific that I would call up by customer or by project in this call, but we're encouraged by the opportunities that exist in that space, Jon.
Jon Tanwanteng: Okay, great. Thank you. And then I was just wondering if you'd comment on the timing of the precision conveyance backlog. If you see any lumpiness in the next three or four quarters and kind of when do you expect that to hit?
David Wilson: Yes, so the precision conveyance backlog is both project and short-cycle based. And when we think about the short-cycle nature of our build-to-order stock, primarily in the US business, that is kind of a book and ship business that ships in days and weeks and not months and quarters. And the run rate for that business would reflect, I would say, 40% of the volume of that business. And so I think that that's probably a reasonable way to think about short versus long cycle as you think about the US portion of the business. And then the montratec project phasing is largely influenced by the large PowerCo orders that we've taken. And those are for multiple projects in multiple geographies that are moving at a pace that's impacted by construction phasing as well as some of the trade uncertainty. And so we are anticipating that those projects will continue to execute on an over time basis from a revenue recognition standpoint, which does take some of the lumpiness out of this from a delivery timing perspective over the balance of the next few quarters. And so I would say that we're probably a bit back-end loaded on that as it relates to projects, but it is not as spiky as a point-in-time revenue recognition project orientation would be for the business.
Jon Tanwanteng: Great. Thanks, David.
Greg Rustowicz: Yes. And Jon just to provide a little bit more color, if we look at our backlog as of 3/31, there's roughly 20% of it that will extend beyond fiscal '26 in total that's not specific to precision conveyance.
Jon Tanwanteng: Got it. Thank you.
Operator: Thank you. That concludes the Q&A section of the earnings call. I'll now turn the call back over to Mr. Wilson for closing remarks.
David Wilson: Thanks, Joanna, and thank you for joining us today. As we look ahead to fiscal '26, we begin the year with solid order momentum and a strong backlog. We remain focused on what we can control while navigating what remains an evolving macro landscape, prioritizing operational execution, customer experience, and cost management. Despite continued geopolitical and trade policy uncertainty, our team remains focused on meeting our customers' needs and delivering long-term value to shareholders. Over time, we believe we are well-positioned to manage the developments related to trade policy changes, although there may be some volatility from period to period, including sales and margin impacts in the first half. We continue to make progress towards closing the Kito Crosby acquisition, advancing towards an anticipated close near the end of the calendar year. We remain enthusiastic by the potential of this acquisition, which will scale our business, expand customer capabilities, and position us to accelerate our intelligent motions strategy. Through this complementary combination, our company will enhance its portfolio across a diverse landscape of industrial segments with attractive end markets with an enhanced lifting securement in consumables position and we will be better positioned than ever before to deliver a superior customer value proposition through an expanded product offering across a broader set of geographies, generating enhanced financial results and long-term value creation for shareholders. Thank you for investing your time with us today. As always, please reach out to Kristy if you have any questions. Operator, this concludes our call.
Operator: Thank you. This concludes today's conference call. You may now disconnect.